Operator: Good morning, ladies and gentlemen. At this time, I would like to welcome everyone to the CI Financial 2021 Third Quarter Results Webcast. All lines are in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session.  Please take note of the cautionary language regarding forward-looking statements and non-IFRS measures in the second page of the presentation. I would now like to turn the call over to Mr. Kurt MacAlpine, CEO of CI Financial. Mr. MacAlpine, you may begin.
Kurt MacAlpine: Good morning, everyone. And welcome to CI Financial’s third quarter earnings call. Before we begin, I’d like to take a moment to acknowledge Remembrance Day in Canada and Veterans Day in the U.S. On behalf of everyone at the CI, I want to recognize everyone who courageously served and those who are currently serving in the armed forces in both countries. We thank you for your service and sacrifice. I also want to personally thank the veterans within the CI family. You have my respect and gratitude.  And now turning to today's call. Joining me this morning is our CFO Amit Muni. Together we will cover the following topics. A discussion of the highlights of the quarter, a review of our financial performance during the quarter, an update on our sales to date for the fourth quarter, an update on the execution of select items of our corporate strategy. Then we will take your questions.  Growing contributions from our Wealth Management segments, further expansion of the positive net flows that emerged last quarter and asset management and continued operational discipline drove another quarter with a number of record metrics, including record adjusted EPS of $0.80. We continue to take a dynamic approach to our capital allocation.  During the quarter, we deployed $134 million towards M&A returned $99 million to shareholders with the repurchases of 4 million shares, and $36 million through a regular $0.18 quarterly dividend.  Asset Management net sales accelerated during the quarter, and we delivered our strongest Canadian retail net sales results in six years. We'll take a closer look at the flows in a moment. But it's undeniable the changes we've made to the business are gaining traction and driving improved sales results. Within Wealth Management, strong organic growth across both our Canadian and U.S. platforms continues to drive client assets to record levels.  We also continue to make progress against our three strategic priorities. During the quarter we close 2 U.S. acquisitions, adding $10 billion of client assets and expanding our capabilities and geographic footprint. Additionally, we announced and have since closed the acquisition of Ohio-based BRR and announced the acquisitions of McCutchen Group, a Seattle based ultra-high net worth RAA with $4 billion of assets, R.H. Bluestein, a Detroit and New York City based ultra-high net worth and high net worth with $5 billion of assets in Gofen and Glossberg, a Chicago based high net worth RAA with $9 billion of client assets. All of these deals are expected to close by year end.  Last night, we also announced that we made a strategic investment in GLASfunds, a leading alternative investments execution platform that provides us with a pathway to majority ownership. Finally, we announced plans to open our U.S. headquarters in Miami. The decision reflects the importance of our U.S. expansion and the considerable scale we have built since launching our new strategic priorities.  Just 18 months ago, CI was an entirely Canadian company. And as we sit today, our U.S. Wealth business is well on its way to being CI's largest business based on assets.  I'll now turn the call over to Amit to review our financial results.
Amit Muni : Thank you, Kurt. And good morning, everyone. I'll focus my comments on our adjusted numbers. Turning to Slide 4, our global Assets increase to $320 billion at the end of September. The increase was from a combination of positive markets and net inflows across all our major businesses. In addition, we closed on the acquisition of 2 RAAs adding $10 billion of client assets in the quarter.  Turn to the next slide,  translated into adjusted revenue  in adjusted EBITDA reaching a record $258 million and adjusted income $159 million or $0.80 a share. Also record result.  Turning to Slide 6. We can take a deeper dive into revenue changes. Total adjusted revenues increased by $55 million as compared to the second quarter. As with fees we're driven by our net increased by $20 million due to higher average core assets under management driven by a combination of positive market movements and positive net inflows.  Wealth Management fees increased by $29 million, primarily due to the acquisitions during this quarter and the full quarter impact at deals that closed at the end of April. Other incomes declined $15 million primarily reflecting a swing in investment gains and losses and lower redemption fees.  On the next slide, you can see the changes in our adjusted expenses. On a comparative basis 4 additional SG&A expenses from acquisitions not all  period. Total expenses increased approximately 6%, driven largely by variable items due to our strong fundamentals. SG&A increased $10 million, primarily reflecting a combination of higher incentive compensation due to continued strong investment performance and accelerating net sales results. Higher  levels as in person activity levels begin to revert, as well as technology consulting and onetime costs associated with new product launches.  Dealer fees increased $11 million reflecting higher payout associated with stronger revenue generation from our Canadian Wealth business. Interest expense increased  due to the full quarter effect of the 30 year bonds we raised in June. We had $36 million of additional expenses from acquisitions completed in the second quarter and third quarter. We remain disciplined on cost and balanced with investing in the right areas to support our strategic initiatives.  On Slide 8, we can review our capital priorities. We generated strong free cash flows of $180 million for the quarter. We deployed $135 million for buybacks and $36 million for dividends. Over the last 5 years, we have repurchased nearly 100 million shares at an average price of just over $23 generating considerable value for shareholders. The buyback also represents a 37% reduction in our care accounts over that time period driving significant earnings accretion.  Our operating model allows us the benefit of generating strong cash flows, which we're able to invest back into our business to support our strategic initiatives, return excess capital to our shareholders and manage our balance sheet.  On the next slide with you to review our debt statistics. As of September, we had approximately $3.4 billion of debt outstanding on a gross basis  on a net basis and our net leverage is 2.6 times based on our -- and on our annualized third quarter adjusted EBITDA. The slight increase in gross debt during the quarter reflects the translation of our U.S. dollar bonds to CAD, while the net leverage is a combination of the translation and cast deployed towards M&A during the quarter.  Slide 10 looks at a breakdown of the $622 million of acquisition liabilities that sit on our balance sheet primarily related to the build out of our U.S. Wealth platform. When we close on acquisitions, we usually defer a portion of the guaranteed proceeds for a period of 90 to 207 days. These outstanding deferrals total $198 million at the end of the third quarter. While generally paid in cash, in some cases, a portion will be satisfied with shares of our public companies are beginning on January partnership shares of CI Private Wealth was Kurt will speak more of later on the call. Also part of the acquisition liabilities is $270 million of contingent consideration. This represents the estimated fair value of earnout payments. Keep in mind for a firm to be eligible for this payment, they must generate growth stronger than prior to joining CI. So while there is a potential additional payment, it comes as a result of faster growth and better financial results which benefits CI. While we are showing the expense and liability from recording the estimated fair value of the earnout, we are not yet showing the positive financial impact associated with the contingent consideration.  Set plainly higher contingent consideration means the RAAs are generating higher earnings than we had anticipated when we initially did the deals. A further proof point on the quality of the firms we are acquiring.  Finally, we have $154 million of non-cash liability, which represents the fair value of options we have granted to the owners of the minority stakes in certain acquisitions. As Kurt will discuss in detail shortly, we have created a unique partnership structure for our U.S. RAA platform. Prior to the minority owners of these businesses, having visibility into the features of the partnership, we structured certain acquisitions to provide liquidity for the remaining equity in their business. We expect this liability to be extinguished, with the minority owners rolling their remaining equity positions into CI Private Wealth Partnership around January 1.  Let me turn the call back to Kurt to give you an update on the progress made on our strategic priorities.
Kurt MacAlpine: Thank you, Amit. This slide provides a recap of our 3 corporate strategic priorities. Moving on to the next slide, as highlighted earlier, Asset Management net sales of $820 million marked the second consecutive quarter of positive net sales. And the strongest flows in 6 years. The continued turnaround is a direct result of the initiatives we've undertaken over the past two years to modernize our business and position the platform for sustainable organic growth.  We've made a series of structural strategic and tactical changes to our product development process. And believe we are now an industry leader and well positioned to win in high growth categories, including liquid alternatives, thematic strategies, cryptocurrencies, and ETFs.  During the quarter, we expanded our offering with the launch of a cost competitive beta ETFs ESG ETF portfolios and thematic funds. CI has built one of the most robust ETF offerings in Canada, including Smart beta, active, liquid alternatives, digital assets, and passive strategies. We believe our investment performance track records positioned us for continued net sales success.  At September 30, 67% of our mutual fund assets were outperforming pure averages on a three year basis compared to just 39% a year ago. The primary objective for integrating our legacy investment boutiques into an integrated investment management platform was to drive better performance for our clients. Despite being only 12 months in, we're already seeing an impact as evidenced by our improvements versus our competitors.  The fourth quarter is off to a solid start with total client assets up 4% in October, driven by the favorable market backdrop, and continued net inflows. In the Asset Management business, we generated October inflows of $69 million, with $143 million coming from our Canadian retail business, which is our sixth consecutive month of positive net flows.  The leading RAAs continue to choose CI as their preferred strategic partner. And our acquisition pipeline remains robust as CI's value proposition continues to resonate with the highest quality and fastest growing firms. Since the start of Q3, we've closed three acquisitions, Radnor, Portola and BRR, adding $11 billion of assets to our platform, and announced the acquisitions of 3 other high quality firms, Seattle based McCutchen Group, Detroit and New York City based R.H. Bluestein in Chicago-based Gofen and Glossberg, which will collectively add an additional $15 billion once they close. These recent deals have further enhanced our capabilities and expanded our geographic reach.  In a moment, we will dive a bit deeper into our M&A strategy and the unique structuring of our RAA platform. Since the start of 2020, we've transformed our Wealth Management business, with assets now over $200 billion, including the recently announced transactions, which positions us with $50 billion more in assets in our Wealth Management business than our Asset Management business. As I mentioned last quarter, only a year ago, our Asset Management business was 2.5 times larger than our Wealth Management business.  While M&A has been a core driver of growth, we've also seen strong organic growth from our Canadian wealth franchise and our RAAs. Through the first nine months of 2021, we generated $118 million the Wealth Management segment EBITDA with a number of large transactions only contributing for a portion of the year. Including McCutchen, Bluestein, and Gofen and Glossberg, acquisitions that are expected to close late in Q4 run-rate adjusted EBITDA through Wealth Management is now $263 million. This is nearly $250 million increase since we initiated the strategy less than 2years ago.  Consistent with prior quarters, I want to be clear that this is not a forecast. This number only includes our current interest in these companies, and does not include any growth or market assumptions. It excludes any strategic or cost synergies Asset Management product sales, business model improvements, or planned unannounced transactions. We are confident that meaningful synergy opportunities exist, but we prefer not to give guidance.  Over the next 2 slides, I'll dive deeper into the U.S. strategy, what we're building, how we're going about it, and how we've structured the business to set us up for long-term success? As we've stated in the past, our objective is to build the leading ultra-high net worth and high net worth focused Wealth Management business in the U.S.  We believe our success to date has been driven by 3 primary factors having a differentiated strategy relative to other potential buyers, which we believe is a no compromise model for the leading RAAs. Being incredibly disciplined in only focusing our M&A efforts on the highest quality well run businesses. And offering a unique entrepreneurial opportunity that creates attractive career paths for incredibly talented colleagues.  There are 4 distinct components to our M&A process. Our first step is to determine the quality of the business on a standalone basis. We are only looking for the highest quality most well run firms in the industry that offer an exceptional client experience, have strong organic growth, attractive margins and great people.  Put differently if a firm needs to be a seller CI will not be the buyer. We then undergo an exhaustive diligence process to make sure there's strong strategic, cultural and financial alignment. Strategically, we're looking to partner with entrepreneurs that share vision and want to collaborate to build the leading us platform for Wealth Management.  Cultural alignment is also imperative. This is a human capital business, and people are our primary asset. It is important that our colleagues want to work together. Having all firms that we are considering transacting the other partners in our network is a required step in our due diligence process.  And finally, financial alignment is also critical, which we address through our unique approach to structuring our U.S. business, which I'll cover in more detail on the next slide. We have structured CI Private Wealth to maximize the client experience and impact while promoting growth, collaboration and alignment.  Within CI, we have stood up a differentiated partnership model where RAAs exchange the equity in their business for equity in the broader U.S. Wealth Management platform. This partnership model is designed to create alignment across the business and ensures that we create compelling financial opportunities for people who are partners in their respective firms today, those that are at the firms but not yet partners, and even those who are not yet at the companies.  Often when an RAA transacts, it eliminates ownership opportunities for the next generation. Our partnership model expands ownership opportunities and provides future generations of partners the same or better wealth creation opportunities than a firm's founding partner. This is very unique and was designed this way intentionally. Wealth Management is entirely a human capital business. And this will allow us to continue to attract, retain and grow the industry's top talent.  The partnership model also directly addresses the shortfalls of traditional partnerships by providing clarity around valuation, liquidity and distributions. Understanding the value of  based on key drivers and incentivize collaboration. Our partners have full transparency on how value be created.  Knowing where and how to get liquidity, most partnerships is a real challenge, and often comes with unintended consequences for the firm. Our partners have full clarity and certainty on liquidity and when and how that can be realized.  Distributions in many other partnerships can often be unpredictable and opaque. A partnership model will pay off the majority of cash flows on a scheduled basis for providing partners with clarity, certainty and individual flexibility. The partnership shares also provided CI with additional flexibility and M&A as we can use the currency to transact, which reduces our cash flow needs during transactions, while creating alignment across the business and driving future wealth for generations to come. We believe what we have created through this unique partnership is one of the many factors that differentiates us in the market, and has contributed to our success in attracting the industry's top RAAs.  Finally, yesterday evening, we announced a strategic minority investment in GLASfunds, with a path to become the majority owner over the next 4 years. GLAS is a leading tech-enabled solution, helping advisors more efficiently and effectively administer alternative investments.  Their platform helps advisors, aggregate private market investments, simplify subscriptions, provide client reporting, consolidate K-1s and unify billing. Alternative assets are an increasingly important part of high net worth and ultra-high net worth portfolios. And having a platform like GLASfunds is a critical foundational component to our strategy in the space. These are the types of strategic investments that will maintain CI’s position as the industry consolidator of choice for the highest quality RAAs, and will help us collectively enhance our offering to clients and achieve our objective of becoming the leading high net worth and ultra-high net worth platform in the U.S.  With that, we will open up the call for your questions.
Operator:  Our first question comes from Kyle Voigt of KBW. Your line is open. Please go ahead.
Kyle Voigt : Hi, good morning. So maybe a 2-part question if I could. First part, the pipeline is robust, given a unique market environment. Just wondering if you can expand on what's creating that unique market environment? And how much of this M&A activity you think might be RAAs wanting to get ahead of potential tax changes, versus something that maybe could persist over the next year or more?  And then the second part of the question is really going around the pace of the acquisition activity. You're clearly having success as an RAA acquirer, but part of the pitch is really around creating this integrated platform as you laid out. So does this level or the pace of acquisition activity -- does that make it hard to simultaneously integrate? And do you think you'll have to take a breather at some -- on the pace of acquisitions to really transfer attention to kind of building integrating that that CI Private Wealth platform?
Kurt MacAlpine: Sure. Okay. So I'll take the questions in order. So when I look at the opportunity from an M&A perspective, for us in the RAA marketplace, I would say we're still in the first or second inning of industry consolidation.  When I look at other segments of Wealth Management in the U.S. scale would be defined as having hundreds of billions, if not trillions of dollars of assets. We're in the RAA marketplace scale is typically defined today as having $2 billion or $3 billion of assets. So clearly, there's a significant gap between what defines scale and RAA versus what would define scale in a wirehouse, or an independent broker dealer platform.  On top of that, there are several thousand RAAs that remain independent today. Many of which over the next few years are going to be looking for ability or opportunities to access that. So I do think that we're in a very early stage of consolidation.  Now, with that being said, I do think that uncertainty around tax and the various tax proposals have forced some of RAAs who might have been contemplating selling or looking for a partner over the next couple of years to pull that process forward into 2021. So I do anticipate that the trends will remain consistent. I do think there will probably be a slight slowing in 2022 of activity, as I mentioned, just because some people who are planning to transact next year have moved it forward to help avoid tax related uncertainty.  On the second part of your question, you're right. The goal is to have the leading integrated high net worth and ultra-high net worth platform in the U.S. We're actually looking to do 3 things in parallel to help us achieve that aspiration, continuing to transact with the highest quality RAAs in the marketplace. And I think we've demonstrated -- our ability to do that. Well, since we've entered the space early in 2020.  The second thing is to grow our platform  post-close. And as you heard from Amit earlier, we've seen better success than what we had anticipated growth perspective across the firm's that we've acquired post-close. And then the third piece is to work together to bring these platforms together strategically.  Part of our ability to do all 3 of those things in parallel is a function of the partnership model that we've put in place that I just described. Our partners are incented to want to work together to achieve the collective scale benefits. So instead of being imposed by CI, as you would see in many different integration models, our integration priorities are set by the members of the partnership more broadly. We're focusing those on the areas where we can have the greatest impact for our clients and our employees in the short term. And we're structuring and sequencing them in a way that allows us to capture them in a very structured and consistent manner.  So there's been a number of things despite continuing to grow at a very fast pace inorganically experiencing great organic growth, where we have been capturing synergies already. We've seen synergies around compliance, we've seen synergies around our ops and tech platform, we've seen synergies in marketing, in legal. We talked today about GLASfunds and providing us with an execution platform to do more for our clients in the alternative investment space. And we have a number of other priorities that we're working on.  So I think the benefits of CI’s collective scale allow us to pursue all 3 of those things in parallel without taking our eye off the ball for attractive M&A  and without compromising the great organic growth that we're experiencing today. 
Kyle Voigt : Very helpful. Thank you.
Kurt MacAlpine: Sure. 
Operator: The next question comes from Tom MacKinnon of BMO Capital. Your line is open. Please go ahead.
Tom MacKinnon : Yeah, good morning. And thanks for taking my question here. The question on the CIPW structure here, is really the put options going to go away? And what's going to --what they're going to get instead is a share of future EBITDA. Is that the way I should be thinking of that? Is that how that CIPW wouldn't come to work? Help me understand that.
Kurt MacAlpine: Yeah, sure. So Tom, think of it this way. Oftentimes, when you're acquiring a business, you're buying the majority of the business and a business owner will retain a minority equity stake in their business. Shares, entrepreneurial alignment keeps them invested in the business and things of that nature.  What we're doing is instead of being an entrepreneur in your legacy business, you're becoming an entrepreneur or a partner in our broader U.S. Wealth Management . So essentially, you'd be swapping equity from a standalone RAA for equity in our $97 billion or $98 billion U.S. Wealth Management platform.  So I think what's compelling about it to the entrepreneurs and the leaders of these businesses they're every bit the entrepreneur the day after they sell the CI, really, they're more of an entrepreneur, because we're collectively working together on a platform that has much greater scale.  So when you link it to Amit’s point around the puts, we have been working on designing this partnership for the last 15 months. As you can imagine, doing something of this nature is very innovative and unique. And it took us a while to stand it up. So while we were standing up, we were transacting with firms and didn't have the clarity on the partnership at that point to give them a full comfort as to what it would look like.  So we said in the event that it doesn't play out the way that we have -- wanted it to play out, we will give you a put option for remaining shares in your business. I can tell you now being deep into the subscription process, we’re oversubscribed from an interest standpoint. So the currency is actually working out significantly stronger in our favor than what we had even anticipated.  So those put liabilities, as Amit mentioned will go away. The only reason we're still showing them today is because the partnership formally launches on January 1. So by the time we're next speaking to those will have disappeared. And those stub equity shares that people own in their business will be fully exchanged for shares in our U.S. Wealth Management partnership model.
Tom MacKinnon : And how do you get -- how would they get compensated out of that? Is that -- would there be a share of Wealth Management firms that would go to the holders of the CIPW?
Kurt MacAlpine: Yes. So essentially, you're owning or swapping. So if you own X percentage of your own RAA today, you would be entitled to that representative portion of the cash flows or the distribution. That's the same thing in our partnership model. So one of the features that I mentioned in the prepared remarks was it was a fully distributed structure, essentially minus working capital. So partners would have shares in CI Private Wealth, those shares would come with appreciation, as the formula plays out as I had mentioned. And then on an ongoing basis, you're getting consistent distributions.  So everyone who's working together is getting a distribution based upon the representative ownership stake. And they have the ability to influence the valuation, because of the formula or the formulaic approach we've set up to take the ambiguity around what people shares are ultimately worth.
Tom MacKinnon : And what's going to fund the distribution? Is that future EBITDA that comes out of U.S. Wealth Management?
Kurt MacAlpine: Current and future, yes.
Tom MacKinnon : But presumably, your guide here doesn't have any synergy. So is it safe to say that if there are synergies that come out of this, that be probably distributed back through the shares?
Kurt MacAlpine: Of course. Yeah, they'll be distributed to shareholders on a prorated per share basis. So CI would benefit and every one individual shareholder would benefit. And you're hitting on a very important point, because there's perfect incentives for people to collaborate together to strategize together into synergize together. Because there's a direct personal benefit for our partners on their wealth creation and their distributions.  So we have -- essentially, this structure allows us to have total alignment financially across all partners in our network. 
Amit Muni : And Tom, just another point. At CI, we’ll be the majority owner of the partnership.
Tom MacKinnon : So it's not like you're giving all of it away? You would just--
Kurt MacAlpine: No, when you look at -- so that the $263 million of adjusted Wealth Management earnings that I have shared, that's CI’s share of the businesses we've acquired. So there's other share, we didn't acquire the full business. So there's additional Wealth earnings that would be sitting in the hands today of people that in the various RAAs. Their earnings today or they're participating in the earnings of their respective individual RAA.  In our partnership, they'll just be swapping that equity, which isn't reflected in the numbers that I've shared for equity in the private wealth partnership and be realizing a current distribution and the future distribution. So the numbers that we shared with you aren't going to change as a result of this partnership happening. It already factors in the stuff equity that remains outstanding in those businesses.
Tom MacKinnon : Right. So any potential synergies over and above those numbers, some would be shared with -- some would go to see CI as the majority holder and some would go to the others -- CIPW shareholders. Is that the way to think at this time?
Kurt MacAlpine: All of the synergies will flow through to the partnership, representative of each individual's partnership stake. So yeah, being a shareholder will receive the majority of the total synergies. But every individual partner will receive a representative share of those synergies through their share ownership.
Tom MacKinnon : Right. And this probably shouldn't change your leverage, as well. Because your EBITDA as you alluded to is not included any of these potential synergies, is that right? 
Kurt MacAlpine: Correct. At a consistent level of M&A activity. And this would probably decrease our leverage. Because we now would be able -- we have a currency by which we can transact. So when we first started down the path, we were doing more cash transactions, taking on more leverage. Now that we have different tools that we can use to structure a transaction. So obviously, it's fantastic to do an acquisition, have people take a meaningful stake, not in their business, but in the broader wealth partnership as we're all working together to grow as effectively as possible and to synergize the platform.  So I think as you look forward, this is going to be very, very additive to our M&A efforts both from a differentiation standpoint, but also from a cash need standpoint.
Tom MacKinnon : Okay, thanks for that. And just as a quick follow up. The leverage of 2.6 times has been picking up here. What are your thoughts on that? What are you doing for rating agencies? Maybe you could share that with us, thanks. 
Amit Muni : Sure. So we've seen a slight uptick in the leverage. And that's mostly a result of the deal activity that we're seeing. I think, over time you will see a natural deleveraging of that as we continue to generate earnings from the overall business, not just from the RAA and then the level of deal activity. So there will be a little bit of offset, but overall, I'm very comfortable with the leverage levels where they are. 
Kurt MacAlpine: And Tom, as Kyle had mentioned in the previous question, in my response, a lot of the planned 2022 activity have been pulled forward. So I think you'll naturally just see a little bit of a slowing down next year, which will allow us to be levered as well.
Tom MacKinnon : And is there a target?
Kurt MacAlpine: Now, we think a very dynamic approach to our capital allocation. We're kind of balancing a couple of things at once whereas Amit mentioned, we're very comfortable with where we're at today. And we're committed to delevering over time. 
Tom MacKinnon : Okay, thanks very much. 
Kurt MacAlpine: Thanks.
Operator: The next question comes from Nik Priebe of CIBC. Your line is open. Please go ahead.
Nik Priebe : Thanks. Just staying on the topic of the Private Wealth franchise. Talk a bit about what you're doing to win shelf space with some of those advisory firms and achieve some level product penetration that channel to drive the conversion of AUA to AUM? I'm just wondering if there's been any early success pushback or any learnings to speak of on that front. 
Kurt MacAlpine: Nik, so where I would describe our U.S. platform. So we're a fiduciary. And we're committed to operate in the best interests of our clients at all times. So our goal as I mentioned, is to position ourselves to have the leading high net worth and ultra-high net worth platform in the U.S. Oftentimes, particularly in a Canadian context, given how distribution businesses are structured here relative to the U.S., the value creation from Wealth Management comes from different sources. So as I mentioned 2 years ago, we were making $15 million a year of EBITDA in Wealth Management.  And now fast forward, 7 quarters, we're running at $263 million. So lots of room and economic opportunity there. That will include -- and that number will get bigger through a combination of revenue synergies, growing the platform faster, expanding the suite of services that we offer, potentially being helpful in products. And the GLAS transaction that I announced yesterday evening, was a very important step in enabling the effective delivery of private market investments from us through to our end clients. And really allowing us to do that in a very, very seamless experience.  So a lot of service opportunities, potentially investment opportunities as well, that being a major catalyst for us delivering those strategies. And on the cost front, you'll see that number increase as well. As I described in the partnership, we're giving an opportunity for people now to be entrepreneurs in a broader business. And because the valuation -- so what the partnership is worth is determined by a formula that has a good imagine a meaningful component to synergies. And also distributions are driven by the economics of the partnership, given we're fully distributing. There's a huge incentive there to collaborate on the cost side as well.  So when I look at the opportunity, I would say -- to answer your question directly, certainly there's opportunities. But that's one of many incredible revenue and cost synergies that we have as we work together at ramping this platform up.
Nik Priebe : Okay. And maybe along the same vein, as your response. Is that platform continues to scale? What are the KPIs that we should monitor to measure the performance of that segment? Like, would you consider introducing something like AUA net flows to your disclosure, or maybe some productivity metrics like flows or assets per advisor? I'm just wondering how you think about that internally? And how you think we should best use information available in the public domain to evaluate performance of that segment?
Amit Muni : Sure, so -- I think there's several metrics that we monitor internally of how these RAAs businesses are performing. We are looking at that holistically and looking at our overall disclosures to see how we would get some more clarity about how the overall U.S. business is doing. So I would say keep an eye out for a next earnings call where we may be talking a little bit more about segments and changes to our disclosures, as our business continues to rapidly change.
Kurt MacAlpine: Yeah, I think Nik just to add, 2 most important pieces, how effectively are we scaling the platform? And what are the economics that are coming along with the associated scale, which is why every quarter I provide an update on the size of our overall Wealth business and the EBITDA contributions that we're ultimately generating. Periodically, we've been disclosing flows from our Wealth Management business which most firms traditionally don't do. So we disclosed flows of the firm's that we had acquired last year, at the 6 months point or at the end of the second quarter, we had disclosed the $4 billion of Wealth Management flows that we generated as well.  So, trying to provide some periodic updates on that as well, so people can really understand how well these businesses are growing organically in addition to the inorganic growth.
Nik Priebe : Okay, that's helpful. I will pass the line. Thank you.
Operator: The next question comes from Scott Chan of Canaccord. The line is open. Please go ahead.
Scott Chan : Good morning. The bunch of follow ups on the Wealth Management. And maybe just first on the clarification. The $263 million EBITDA run-rate, is that just the U.S. RAAs or is that the North American Wealth Management run-rate?
Kurt MacAlpine: No, it's the North American Wealth Management business, Scott that is as you could imagine the major change in assets and growth from the $15 million starting point in 2019 through to today. It's been the growth that we've experienced in the U.S. But it is inclusive of our Canadian business.
Scott Chan : Okay. And then you kind of broke up Kurt, when you're talking about the full transparency on valuation. So I don't know if you mentioned that, but what are these -- like in terms of the transparency on the valuation of that segment? What are the minority stakeholders buying in that? And I think you alluded to that most all of them or all of them are willing to participate in this starting January 1.
Kurt MacAlpine: I didn't fully understand the question, Scott. So yes, people are -- we are oversubscribed relative to our expectations in the partnership. But I didn't understand your specific question on the valuation. It is formulary. So we do have .
Scott Chan : Like, is there a valuation set -- like any of the EBITDA multiple set for the stakeholders to come in for CIPW shares? Is kind of where's the put or another way to put is there incremental value accretion outside of EBITDA growth in partnership units on valuation multiple increases? 
Kurt MacAlpine: So the formula without getting into too much detail just from competitive reasons. Obviously, this is very unique for our industry or for any industry. So I don't want to share too much about the nuances of the formula. But as you -- if you step back and think about what contributes to value creation in a Wealth Management business, obviously scale is important. Growth is important. Earnings are important. And other factors are important as well.  So when people do know the valuation that they're coming into, so there's this partnership model has evaluation, that valuation changes based upon business performance tied to a specific formula. So people coming in this quarter will have a different valuation than people coming in next quarter and the quarter after and things like that. So it's an ever evolving thing based upon the overall success of the business.
Scott Chan : Okay. So it will change with future RAA acquisitions that depend on the market and how that partnership is doing?
Kurt MacAlpine: Yeah, but the primary reason for that change is going to be a function of business performance. How well is the business doing? So, yes, the partnership model does change because we have a formula. And that formula updates as we produce financial results on an ongoing basis.
Scott Chan : And, Kurt at that time to your point that it creates an attractive currency to conduct future M&A, is that the linkage?
Kurt MacAlpine: It does. So when we first started in 2020, we were essentially using cash. We didn't have this partnership model. And I was reluctant to use our stock too much. Because as I've described, I feel like we are very undervalued relative to what we think  is worth so a lot of it was cash.  Now we not only have the ability to use cash, we have the ability to essentially swap equity, I guess, if you will. So they can swap stuff equity for shares in our broader business, which not only helps us in the cash flow perspective, which is fine. More importantly, it sets this business up so well for success. Because instead of oftentimes, when people acquire RAAs, they're buying stakes of a bunch of different RAAs where there's no incentive for people to work together.  Everyone in our partnership has total incentive to work together. And that's why our process is so focused on you need to be bringing into the partnership and exceptional business. You need to be focused on the strategy and agree and have a desire to take the business where we collectively want to take it. You need to fit in culturally, because it's so important that people want to get together to work together to do something what we think can be truly special for clients and employees. And then you reap the benefits of the financial impact associated with being on a partner and being a partner and focused on the right things.
Scott Chan : Maybe just last thing. CI is going to be the majority holder. And that's going to be the majority that $263 million of EBITDA. And let's say the minority interest could be about 15%, maybe aggregated and all your transactions over time. Is there a way that we -- like are you going to report CIPW? Like are we going to be able to see any of the drivers that you had to talk to both Kurt, in terms of EBITDA growth or earnings outside of the  run-rate that you show us, which is pretty hard to kind of see just based on the aggressive path you've taken?
Kurt MacAlpine: Yeah. So as Amit had mentioned, so we are sharing. What we're sharing today, the assets and then the representative EBITDA is this share that CI owns. There are other states or representative stakes that would push that number higher.  As we move into 2022, we are looking at providing as this business continues to scale becomes more meaningful. Overall, we're looking for different ways to, I guess better articulate some of the components of it. So as Amit mentioned, the plan is to likely do that on the next call heading into 2022.
Scott Chan :
Operator: Okay. Thank you very much. 
Kurt MacAlpine: Thanks.
Operator:  Now. Our next question comes from Graham Ryding of TD Securities. Your line is open. Please go ahead.
Graham Ryding : Hi. Good morning. I think in the past, you said that you have what on  80% majority position in that U.S. Wealth platform. Is that still a realistic number, or what is your majority ownership position on aggregate?
Kurt MacAlpine: Yeah, I would be in and around that range. And I don't have the exact percentage in front of me. But it would be -- vast majority of it would be in that range, if not slightly higher.
Graham Ryding : Okay. And will not materially change here. If we do use some of this U.S. Private Wealth equity to fund those contingent liabilities that are coming due over the, I guess, the near term?
Kurt MacAlpine:  transaction-to-transaction is everyone is ultimately unique. But if you look at the collective scale that we have in the platform today, like $98.7 billion I believe is the disclosed number. Every individual transaction is a fraction the size of that. So as the individual contribution or mix might change a little bit, just given the size and scale on the platform today, CI will remain the vast majority shareholder.
Graham Ryding : Okay. And then just then in terms of your financial, you're not going to be building in 2022, like minority interest stakes in CI overall. Like this is going to be a net number that's flowing through into your Wealth Management EBITDA that's going to reflect this structure?
Amit Muni : We're working through the accounting. But yes, we'll have to figure out how exactly we reflect those distributions if it's still NCI or both for just what the right presentation is. But as Kurt mentioned, we're working through how do we provide some more transparency around the U.S. business. So you can see exactly how it's growing and adding value to the overall CI business?
Graham Ryding : Okay. Understood. My last question would just be on the Asset Management side, there's been a lot of changes in recent months. Also, on that Signature team, and also at the Cambridge team. But can you just give us some context, perhaps on how you're feeling about those adjustments internally? And what's the reception been like from your retail advisors and also the -- some of your institutional accounts? Any concerns or even effectively able to communicate the changes?
Amit Muni : Outlook? It's a great question. When I look at the strength of the business, so at the beginning of 2020, we decided to take a series of independent unaffiliated boutiques and create an integrated global asset management platform and work very hard in a very collaborative manner to achieve that objective, which we wrapped up in September of 2020 last year. We have had a couple of departures. We've also had a series of very significant additions to our platform, including the appointment of our first ever Chief Investment Officer, who joined us from the Abu Dhabi Investment Authority has relocated to Toronto to oversee that platform. So when I look at the outputs associated with the changes, as I mentioned earlier, our investment performance has improved considerably from the old model to the new model. And the flows, we disclose on a quarterly basis, our flows have improved considerably, as well.  So I'd say when I look at the net impact of the changes that we've made, we're delivering better investment performance for our clients, which is our primary objective. And immediately that has flowed through to our net flows. And we're in a stronger position today from an asset gathering perspective than we've been for any of the last 6 years.  So I think we're very excited to see the platform transform so quickly. And we worked very hard to change every element of the business. It wasn't just the investment platform, we completely revamped our approach to product development. We've integrated our sales and marketing teams powered by advanced analytics and data. But I think it's hard to argue that when your investment performance has improved as much as ours has, and the flows have improved as much as ours have that, the changes we've made have certainly been extremely overwhelmingly positive.
Graham Ryding : Great. That’s it for me. Thank you. 
Amit Muni : Thank you.
Operator: There are no further questions on the telephone lines at this time. 
Kurt MacAlpine: Great. Well look, thank you so much for your participation in today's call. And we look forward to chatting next quarter.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines. 